Operator: Greetings and welcome to National Energy Services Reunited Third Quarter 2019 Earnings Call. [Operator Instructions]. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference service to your host Mr. Chris Boone Chief Financial Officer. Please go ahead.
Chris Boone: Good day and welcome to the National's Third Quarter 2019 Earnings Call. With me today is Sherif Foda Chairman and Chief Executive Officer of NESR. On today's call we will comment on our third quarter results and overall performance. After our prepared remarks we will open up the call to questions. Before we begin I'd like to remind our participants that some of the statements we'll be making today are forward-looking. These matters involve risks and uncertainties that could cause our results to differ materially from those projected in these statements. I therefore refer you to our latest earnings release filed earlier today and other SEC filings. Our comments today may also include non-GAAP financial measures. Additional details on reconciliations to the most directly comparable GAAP financial measures can be found in our press release which is on our website. Finally some of you may calling for the first time. So please feel free to contact us after the call with any additional questions you may have. Our Investor Relations contact information is available on our website. Now hand the call over to Sherif.
Sherif Foda: Thanks Chris. Ladies and gentlemen thank you for participating in this conference call. We are excited to report on this quarter results and on some of the back-breaking work which our teams on the ground have done. The seminal effort operationally and commercially will set the stage for us for the coming quarter and the near-term future. Additionally we have greater visibility on achieving our very aggressive target next year and beyond. This quarter we grew our revenue 11% year-over-year despite the geopolitical turbulence in the region. As reported I was on the ground when the incident happened in Saudi. And we quickly put our emergency response plan in action. As well as informed our team customer that we would be ready to help in any manner they require. Our operations equipment personnel we're ready to perform any needed task. As you all have witnessed Saudi Aramco with the world-class processes and system managed to bring production back online in record time. Coming back to some numbers our production group revenue increased by approximately 10% year-over-year. Most of the growth came from our core countries of operations. We managed to start and all the new countries in the later part of the quarter. The delay was mainly due to the extended holiday season in July and August. We started providing coiled tubing services in chat and did our first job successfully. Similarly we executed the first cementing jobs in flawlessly during September. This process will further accelerate in Q4 as we would see the full weight of these additions throughout the quarter as well as part of some of new operation. I can comfortably say that the production group is poised for some significant growth and the near term and will grow very rapidly in 2020. We are perceived by our customers as one of the strongest company in terms of solid execution technology and capacity. Our Drilling and Evaluation group grew by 13% year-over-year and it was pretty widespread across the geographies. As you know in most countries outside of Oman we have much smaller DNV portfolio than our production footprint. We are starting to see the level of maturity in the countries where we won contracts earlier this year. We have established a strong base built the infrastructure and now serving larger piece of the contract. This growth of 13% also includes the effect of the decrease in our legacy drilling and work over rig product line. In essence outside of the rig product line D&E grew in excess of 20% year-over-year. We are also making progress on the evaluation front and in the third quarter we started NESR first perforating job in Indonesia. This mega job was successfully completed and involved 67 perforation run in Q1. Currently one would start with a very small job that is not complex. However we opted to start with a big and challenging operation and we're extremely appreciated by our customers. We are now set to do more of these in the queue. In addition we are working on evaluating and field testing our latest production logging tools with our partner. This technology once proven will enable us to play a bigger role in the growing K12 market across the region. Now let me spend some time talking about the overall macro of the region. As we have been saying oilfield service activity for the region is to large extent decoupled from the current oil or gas or LNG prices you see on the market. Our customers in the regions do not operate with a short-term view but are working toward their long-term strategic goals. This is reflected in our activity and how we view our market evolving which has only been one way since I have started doing this call a year and a half ago. And what's the basis of this is which led to NESR. This is going to accelerate in the coming quarters due to addressing more complex reservoirs with higher intensity observed which is required. This is completely at odds with what the market see and react to in North America. Here slight changes in EIA storage number change in regulation can move how the public market view the service sector causing significant volatility. We on the other hand operating in an environment which is completely different and which the market and net have secondly grown with minimum volatility. Being very close to our customers I can assure you that most of them have very aggressive budget plans for the future. Some of the project being sanctioned or the magnitude higher and that anything done in the past in terms of complexity and size. The quest to increased offshore spend and proving new reservoir is evident in many countries. I'm very optimistic with the exploration success rate which means several new frontier will start in the region. The best example is offshore Kuwait. As previously discussed extensively in my call that in various forums one of the main strategic goal in the region is being self sufficient and gas so they can power and grow their economy. This is evident from the large-scale projects we are witnessing today with new customers especially working toward multiple unconventional process. For us this quarter we have moved from just cutting the possibility of playing part or how to participate in those projects to seriously qualifying the services and preparing to lead a big part of it. Today we are actively engaged with four of our customers at different stages. To be able to take part in this growth we have to ensure that our ground teams as well as the few layers which we have above them are operationally and technically equipped to handle such a potential increase in unconventional activity. This takes a lot of investments in people as well as hardware and the way we want to undertake It is to ensure that our customers get the best equipment as well as processes in the world with no compromise. This include base and support facility logistic infrastructure supply chain as well as just pure execution hardware and personnel. For a company of our size this is a significant commitment in resources and demand and all hands on deck approach. I can tell you that all of us here operating hands-on type quotes and our aim is to ensure that we hit the ground running and deliver world class level of service efficiency to our clients. We are very pleased with our progress in advancing the qualification process. As I had mentioned earlier this can take up to two years to get qualified. For us our aim is to reach that goal before year-end. On the conventional side as I mentioned we initiated the work on previously announced contract award in Kuwait and Chad. And we continue our strength of gaining market share. Also we did start our operation in Bahrain during October all of these have been flawless start-ups and I'm very proud of our teams which have made this happen. I just came back from Kuwait and I can tell you that our customers there is very pleased with the way we have mobilized participating contracts. They have never seen anybody mobilize with such intense and deliver on time. We had the visit to our operation by the top senior management and we discussed ramping up the contract a number of rigs we serve at a much faster pace. We also got awarded as the best cementing company for one of our biggest clients. We're actually -- our overall service efficiency is across all the segment was better than everybody else. We have completed the first integrated wells construction in Iraq. This included our rig and all the services. We have demonstrated our capability to perform integrated work professionally and most important profitably. We are in discussion to increase the scope of this six well campaign. On the M&A front besides the earlier announced new wins in North Africa where we will operate for the first time to new customers. We won several other smaller awards. We won an award to provide services for the European operator in Yemen where we have been in discussion for a long time to ensure the security of our operations. We have successfully mobilized coil tubing and Slickline services to East Libya. We are in direct negotiation with the client to add those services to our current contract. We are at the final stage of tendering two large contract and hopefully we will be able to announce them positively before year-end. And on that note I will pass the call over to Chris to talk about the financials in detail.
Chris Boone: Okay thanks Sherif. This morning we filed our earnings release reporting our results for the third quarter. Third quarter revenues were $162 million an increase of 11% over the prior year quarter. We were pleased to see year-over-year revenue growth in both the production group and drilling group. Adjusted EBITDA is $48 million for the third quarter of 2019 with adjusted EBITDA margins increasing sequentially to nearly 30% from less than 29% in the prior quarter. Year-to-date our adjusted EBITDA is $134 million which is 20% higher than the first nine months of 2018 for the combined companies. EBITDA adjustments of $4.8 million for the quarter are primarily for integration costs as well as start-up costs for the new products and locations. The sequential increases in these adjustments are primarily related to higher restructuring cost SOX implementation planning and new country entry expenses. Adjusted net income is $16.2 million or $0.19 per diluted share as compared to $16.4 million or $0.19 per diluted share reported in the second quarter. Despite higher sequential EBITDA adjusted net income was impacted in the third quarter primarily due to increased depreciation of $1.2 million as we deploy the new capital expenditures during the third quarter. We note that our net income both down in future quarters will include amortization charges of $3.8 million resulting from the purchase accounting of last year's business combination. In addition we would expect to see a similar increase in the sequential depreciation in the fourth quarter as we finalize the 2019 capital spending program. Moving to our segment our Drilling and Evaluation segment revenue for the third quarter is $64 million growing 13% over the same quarter last year. Results for D&E were led from our market-leading position in Oman where our drilling services and rental business which provides drilling tools and servicing of equipment generated incremental activity as compared to the same sequential quarter. Outside of Oman our team's efforts to expand D&E markets share into other geographies continues to yield results with Saudi Arabia contributing significantly to the growth in D&E results over the last year. Adjusted EBITDA margins were relatively flat sequentially at 25%. Separately our Production segment revenue for the third quarter is $97 million growing 10% over the same period last year. Growth in our Production Services Group was led by increases in coiled tubing and completion activity. Adjusted EBITDA margins were relatively flat sequentially at 35%. The effective tax rate for the third quarter of 2019 is 24%. The decreased of 4 percentage points from the second quarter. The second quarter included a discrete reserve related to prior year taxes of approximately $500000. On an adjusted basis the third quarter tax rate was approximately 20% as many of the adjustments pre-tax income have no tax benefit. We are aggressively exploring tax restructuring activities and believe they will positively impact the tax rate in the future. Looking at the balance sheet and cash flows of the first nine months of 2019 operating cash flow was $45 million. Operating cash flow has been impacted by delayed collections in several markets primarily related to slower invoice approval and delayed retention repayments. As compared to fourth quarter of 2018 DSO levels decreased accounts receivable collections of approximately $42 million have contributed significantly to the increase in working capital during 2019. As was expected due to the summer holidays and due to other geopolitical disruptions collections in the third quarter approximately matched billing. But we did not reduce the level of excess receivable. During the fourth quarter we expect to see retention release payments of approximately $20 million and the reduction in delayed receivables of approximately $20 million. In October we already started receiving the retention funds from one of these contracts. The entire organization is highly focused and committed to these collection efforts. Capital expenditures for the first nine months of 2019 were $90.2 million as part of our efforts to invest in our growth opportunities. Most CapEx for the year ordered in the first half and has been substantially received as of the end of the third quarter. As Sherif has discussed we should see the benefit of these investments in the upcoming quarter and next year. We expect lower cash capital spending in the fourth quarter. Cash and cash equivalents decreased to $43.1 million as of September 30 2019. While net debt increased $331 million yielding a net debt increase of $34 million since June 30 2019. The incremental net debt was used to primarily finance the temporarily elevated level of receivables. The proceeds from the receivables reduction in the fourth quarter will be applied to reducing the revolving credit facility. The RCF capacity has been designated for other growth initiatives such as M&A in which we are still actively engaged in several prospects. Interest expense decreased from $5.8 million to $5 million between the second and third quarters as the write-off of unamortized costs associated with the prior debt facility did not reoccur. As of September 30 2019 our net debt to adjusted EBITDA ratio was 1.8 but should reduce to our target level of approximately 1.5 in future quarters as collections improve and we see returns from our capital spending investments. We are optimistic as we enter the fourth quarter of 2019. This quarter has historically been robust for oilfield service company as oil companies tend to aggressively utilize the remaining capital expenditure budget. Additionally our team will continue to explore opportunities to provide new service lines to our existing customers as well as source both equipment and skilled labor from markets with excess capacity. With this I'd like to pass back to Sherif for his closing comments.
Sherif Foda: Thanks Chris. In closing Q3 was another strong quarter and I'm happy that we are on the path to deliver on our objectives this year and for the future. This quarter with the transition and very important for us as we started a lot of new contracts in new countries and put in place structures for a few more. We ramped up our investment significantly and improved our infrastructure to prepare for the coming business. Our customers are extremely pleased to see the commitment we have put in place. They trust that we will exceed all their expectations in terms of delivery time and quality. We are confident to reap the benefit and hard work that the entire organization have put in place in the coming quarters. Our future is very bright and we are working on exceeding all the financial goals. We have placed on ourselves. The MENA region will continue to grow at a stable rate and we are confident to at least double that rate for the foreseeable future. With this I would like to take this opportunity to thank everybody for joining this earning call and we'd be very happy to address all your question now. Thank you.
Operator: [Operator Instructions]. Your first question comes from Byron Pope from Tudor Pickering Holt & Co. Please go ahead.
Byron Pope: Good morning. Sherif, just wanted to -- at a high level for detail but just at a high level just given the way you characterize the region is having a steady growth and with the project that you have ramping up could you just frame for us at a high level how we should think about the primary growth drivers for NESR as you head into 2019 whether it's by business segment or by a few key countries? Again just trying to frame what will be the growth drivers for you guys next year.
Sherif Foda: So as I explained the growth for us is across all the countries. I would say you have the core countries where we are growing on our main business segment Drilling Evaluation Production segments and we are growing significantly on those by adding the latest wins on the contracts. We are adding a lot of those businesses to serve the customer. We secured most of the contracts for the next three to four years. So you will see a lot of addition with the market and we are adding some of the other segments. If you look at the new countries where we just entered we have a very small position in those countries. So definitely the growth as a percentage is much more than the four countries because we didn't exist before or we were very small. If you look at the driver of those countries as we said before all these countries have very stable and significant growth plan. So if you look at offshore which I've been saying and you saw the market you have Kuwait that is drilling for the first time ever in their history offshore prospect. The drilling started and they -- the initial indication from even the size may look very promising. You have Oman that is going through exploration offshore you have obviously the increase of activity in Qatar you have UAE that is just actually announced discovery and they are going through their island they are going through a lot of other projects. In all this additional offshore and the normal business you have this unconventional monster that is coming to the region which is going to be at least 5x of what used to be. So if you look at the fracturing business if you look at the number of stages that the region -- entire region has been doing before what's coming into the future it's the magnitude at least 5x to 10x of the number of stages for that region. So overall you have the gas which is very strategic you have the new frontiers which is on the offshore projects and you have the normal business that is growing at this stable 6% to 8% to 9%. So you can arguably say that the minimum growth of that region will be in my opinion not less than 10% year-over-year.
Byron Pope: And then just one follow-up question is as I think about the growth opportunities on tap for you guys particularly in unconventionals I think you're going to be a relatively unique position among service companies in terms of having opportunities to invest growth capital as we step into next year and so it's early to really frame how you guys are thinking about CapEx next year? Just some of these growth opportunities that you guys are going to have?
Sherif Foda: So no I can tell you I mean obviously we've been planning this as I try to explain. We started this from the second quarter to get ourselves qualified. So we've been engaged with the -- full in four countries to get qualified and I can tell you comfortably that we will be qualified at least in two of them before the end of the year. Which means that to get qualified you need to demonstrate how you're going to get qualified. Which means what's -- where are your -- is your chemistry coming from you have to demonstrate some -- even a pilot project you have to show commitment on CapEx you have to show commitment on personnel etc etc. So we already started investing this year and that. And we will continue to invest next year and our CapEx plan based on the opportunistic view we look at it and the partnership we want to maintain as if light and we want to maintain within the framework of the $100 million per year spend despite the fact that we are going to grow significantly. So taking the opportunity of definitely the slower growth in North America and how to position ourselves in a favorable way to -- not to spend the same way the U.S. spend when they grow these unconventional resources. So in a very simplistic way we want to maintain the $100 million spend per year this year and next year.
Byron Pope: That's great. Thanks, Rita. Appreciate it. Thank you.
Operator: Thank you. Your next question comes from Sean Meakim from JPMorgan. Please go ahead.
Sean Meakim: Thanks a Good morning. So Sherif this much in your prepared comments but I think it's a fair meeting particularly as we have headlines this morning suggesting other OPEC cut could be on the way something that investors have been expecting for probably -- at least the first half of 2020 and this is a topic that comes up quite a bit when your stock is being discussed. How should investors think about the relationship between upstream CapEx activity versus production? Could you maybe just elaborate on that as it pertains to your outlook for next year?
Sherif Foda: Yes sure it's completely decoupled. I mean it's the production cut of OPEC it's basically closing the tap on the oil has absolutely nothing to do with the activity. So if you look at across the region and if you look at the number of rigs the number of regular sites it's actually keep growing. If you look at how many rigs are being added or being contracted with a 4 to 5 year's plan. It's exactly the same and that is zero difference in activity. What would happen if they cut -- like significantly going forward usually what happens is you have some delay of what we call the rig less activity. So if you have for example the normal production from the biggest reservoirs and you have some activity like that being higher rate stimulation etc. they would delay that because they don't need the oil production. But the majority of the spend today in most of the countries are as I said is for guide that has absolutely nothing to do with the upper-cut and had to do a lot with the offshore and liquidation of the Frontier and this is all going as planned. If you look at their plan and I just came a couple of days ago each country they have actually exactly the same budget plan for next year that's obviously going to get approved and sanctioned by their government toward the next month but it's all based on the same level of activity and the growth next year.
Sean Meakim: Got it. I think folks will find it helpful. Bigger competitors in the region have been talking more about capital discipline and margins over market share. If you look it's a bit of a shift in the rhetoric and could you be just indicate have you seen a shift in those dynamics on the ground just with review on the competitive landscape recently?
Chris Boone: Yes I mean obviously I'm not going to point on any one of that specifically. The difference obviously between us and the big service companies we are growing at a much faster pace and we are very small. So we are putting a lot of capacity in place to make sure that we can take much bigger projects. So definitely the level of spend that we have as a percentage to our size it's much higher than anybody else because we are at a much -- at a big growth path and we have a big contract that we just one on that definitely wanted to make sure that we -- as we say we hit the floor running and being able to capture that. If you look at it from a disciplined approach on some of the tendering as I said before the market is -- I would say getting -- I wouldn't say getting tighter but I think similarly to my last quarter comments when the project is a huge -- it's very big it's huge and it is in LNG side you do not see the discipline yet. Some of it is coming which is very positive but on the smaller stuff yes people are more disciplined in making sure that they do not -- I would say buy the work at any price and which is very positive sign for the region.
Sean Meakim: Got it. Thank you. One last one if I could just will be a presentation as we know as you think about the collections disruption in the quarter could you just talk about how you see seasonality and working capital on a normalized basis particularly given the pace at which you're growing top line it'd be helpful to see and maybe Chris can offer some comments on how you see normalized seasonality in working capital as it pertains to what we saw so far this year.
Chris Boone: This is Chris, I think we -- part of the as we said some of this is not just -- some of it was seasonal. I think probably the summer months are usually always the slowest period. Just there is a lot of people on holidays and getting approvals done but we also had our own growing pains of new contracts and then on our side as well. All of that obviously being worked hard to be resolved and cleared up in the fourth quarter. So I think the normal seasonality will probably look more like slow -- a little slower collections in the summer just because less of people around to do approvals; but I think that would be the normal cycle.
Sean Meakim: Is there a working capital to sales metric or some will be should be used to be cognizant of how your working capital needs will grow as you continue to drive top line growth?
Sherif Foda: Sure. I mean I think we've stated long time but at least on our balance sheet when we thought up receivables of the actual invoice the unbilled and the retention. We look at all of that together as our total amount of receivables something in the targets we are working hard to get us back to 100 -- maybe 110 days max. That's the level of receivables inventory will move a little bit but a lot of our inventory is for equipment spare parts in those small it's not a direct correlation to revenue like you would have a manufacturing type environment.
Sean Meakim: That's very helpful. Thanks a lot.
Operator: Thank you. Your next question comes from Greg Colman from National Bank. Please go ahead.
Greg Colman: Thanks a lot guys. I just wanted to start by talking a little bit about earnings seasonality in the prior years we obviously the great sequential growth from Q1 through Q4 which is good to see. And in the prior years and we don't have a lot of history but in prior years we've seen substantial upticks in Q3 this year we did see one of the growth but it was a little bit more muted. Is that due to some of the nonsense we saw regionally in the quarter and should we expect the seasonal growth to accelerate going in a year end sort of resuming the overall annual average or is this sort of more muted growth from Q2 to Q3 I think we should be thinking will persist into year-end.
Chris Boone: Thanks Greg. So as I try to explain so this quarter was characterized with two things. You had the month of Ramadan came in definitely in the quarter and then you had what we call extended holiday season with the pilgrimage in August. So it all came into effect July August then you had geopolitics that happened and the incidents across the region. So what happened is you had a lot of delay which you saw it actually in the international service company result it was exactly the same. So we have delays from moving from Q3 to Q4. So you would see this normalized if you take it H2 over H1. So basically whatever growth that was supposed to happen in Q3 will happen. But it will be added to Q4 so in a very simplistic way. So this is not -- is exactly the same it's just matters because of the extended vacation period couple of geopolitics so you have some of the -- I would say not the rig related the rig less related activity which shifted toward Q4. In addition to our size and for ourselves we had all the new contracts that were awarded for and we started them in Q3 we are supposed to start in July. Majority of them never did not start and waited until September. So you had only one month out of three in the quarter and in Q4 you will have the three month of quarter three. So you would see an huge uptick in Q4 as well due to that.
Greg Colman: Got it.
Chris Boone: So in a nutshell you will have the same H2 over H1 similarly to what we had before.
Greg Colman: So we'll see a catch-up?
Chris Boone: Yes in quarter exactly.
Greg Colman: Then just to build on some of Sean's questions on the competitor side there with the continued challenges we're seeing in North America it seems like every day we are getting more challenges in sort of shale growth and relative economics there? It appears of the relative attractiveness of rest of the world regions like Middle East are getting much more apparent. So my question would be -- are you seeing any increased competition or focus from some of the super majors who operate in both regions who would look to try to augment stagnating North American revenue or margin pressures by trying to get more market share in your areas which are obviously relatively quite a bit more to try?
Chris Boone: Yes absolutely I mean obviously the region is the best by far and has been the case but I can tell you quite frankly the barrier of entry is actually harder now than any time before right. So the in-country value local content the presence in the region. How to navigate the contract how to make sure that you have the all the requirements to operate is extremely complicated right. So with all due respect that you cannot just go there and say okay I'm the region is very good and I'm going to go and bring my 10 perusing giving units and 4 frac fleet because they're sitting doing anything in North America I'm going to go and get the contract in the Middle East. It's not going to happen right. So what is the best approach is definitely and that's what we are looking at is all the companies that have very unique position and have very strong I would say technology portfolio we are very happy to partner with and in some of the unique activities that we don't have and they don't have and obviously in that region. And we you go to get it there and that's what I would say the most optimum way. If you look at the big service company definitely they are present there for 80 -- 90 years very very strong and they definitely are the strongest players to reap the benefit. So between that I would say the national strong and local companies and the multinational they will be the major force in the region. It's not going to be a U.S. Canadian small company be able to operate in there it's not the.
Greg Colman: Okay now got it. That makes perfect sense on those majors that have multi-decade got to a century of experience there. Are they coming down market for the sort of the smaller contracts that are very meaningful for you but less so for them simply because of the North American challenges are you not seeing them in big competitive ways in the areas you're shopping.
Chris Boone: No it's everybody is going after every contract. I can tell you that nobody is leaving anything anywhere. So we are competing on all contract as I mentioned before we always maintain that we compete professionally and we are not like a little outfit of a local company. We had a national champion of the recent meaning that we operate very professionally when we compete on a service quality order delivery on projects we compete head to head and we perform when I put in my earlier remarks when we were perceived by one of the biggest clients at the best service quality provided in the quarter that was against everybody that was against all the multinational against all the small guys and we scored the best 99% efficiency which was the number one position against everybody else. So and that's how you maintain that market share and you maintain that leadership. The key there is not to take jobs that you cannot do. So when we cannot provide services in certain technology and we do not have it and obviously the multinational have it we are very honest and frank to the client to say we cannot provide that service we are not good at it and you should use X or Y right. So the discipline in the tendering and that's what I was trying to allude to you will see that some of the multinational service company which I'm very happy that they see them they are more disciplined than the past they do not by the word they price properly and which is a very good time. So they do not go just after everything with any price and lose money. They are doing --they are moving to a disciplined approach. So only undisciplined approach as I said is still some of LSTK project where people sometimes still buy the work.
Greg Colman: Got it. Thanks for that. Then just wrapping up and sort of take a bunch of questions here on CapEx just to be clear you're still comfortable with us thinking about $100 million for total 2019 CapEx despite being through 90% of it in the first nine months?
Chris Boone: Yes I would say I mean you might get $5 million $6 million more or something toward the year-end. But yes we are -- we front-loaded our CapEx that we all agree and we have this consciously like this to ensure that we serve the contract and we have capacity and we are comfortable we will end up the year maybe as I said maybe some of the CapEx would be received like in December $5 million $6 million from next year earlier that we should have the same and then next year we should maintain the same. CapEx level despite the fact that we're going to grow we're going to keep growing at that pace.
Greg Colman: Got it. And this is absolute last one here. Just on the bid pipeline how is it looking moving into 2020? Are you expecting it to be as strong as it has been in the past sort of 12 to 18 months? And I'm focusing specifically on sort of incremental contracts you're not necessarily renewals but on the growth side.
Chris Boone: Yes absolutely. I mean if you look at the majority of the mega contracts we got -- started them as I said in September. So definitely next year you're going to see the full 12 month of those of those contract. In addition we are negotiating a couple of huge contract and hopefully we will be able to close them before year-end which means that you're going to see the benefit of these contracts for the entire next year. So it's looking extremely positive for next year and we might break all records again.
Greg Colman: Thanks very much for that. That's it from me.
Operator: Thank you. Your next question comes from Igor Levi from BTIG. Please go ahead.
Igor Levi: Hey thank you. You guys just mentioned that the majority of the contracts you've got this year. You already started in September or are going to start shortly. So I wanted to ask how much of the expected growth in 2020 has already been booked and how much of that growth is expected to come from the two tenders you mentioned that you expect to announce before the end of the year.
Sherif Foda: Okay got it. So with that obviously going into almost give guidance like this but I can. Yes. The majority of the newly awarded new countries were started in September with the only exception of Bahrain where we started in October so you did not see any of those benefit in the numbers if you like this quarter at all almost. And he will only see in Q4 and then obviously the next year. Some of the announced contracts that we said before we'd like the Saudi is then the Oman etcetera. We had this contract and they were renewal but within needs before. So you already saw part of that growth this year. But you will see it at a much bigger numbers next year because obviously it gets matured and this will get figured. So I tried as well to explain for the company D&E portfolio where we won a lot of contracts outside and today we are established in Algeria in Saudi and Kuwait just entering other countries as well. And you will only see that because the drilling growth comes at a much slower pace than the production because the type of work you do when you run a fishing remedial with stocks. The downhole tools the truth tubing this stuff gets maturity with the longer time because the client has to be comfortable with you. That you can replace a multinational company and be able to do this professionally and the scope gets bigger but slower right on the Production segments you get exactly the opposite where because you are replacing someone. You've got the cementing contract for example or a giving contract you replace that other companies and you'll see the revenue immediately. I'm not sure if I answered your question but in a nutshell you will see a lot of the growth already booked with the contracts we have next year. So we have a very strong visibility on our growth next year based on the contract we won. The contracts that we are looking at in Q4 to secure will be an additional to that growth.
Igor Levi: Great thank you. And shifting gears looking at how weak the U.S. oil services market has the guide are there some potential opportunities to acquire technology at a meaningful discount it's something you've done in the past but I imagine that discount has gotten a bit more attractive over the course of the year?
Sherif Foda: Yes I mean obviously there is a lot of things that comes attractive but as you know we do not just go and buy capacity and some that has no technology because you can just buy from your suppliers right? So if there is an opportunistic if we just want the contracts and we want to buy out someone with a very good equipment and add capacity at much lower CapEx spend we do it and we are actually in negotiation with a couple of those. But the key is to look at innovative business model with those some of the very strong companies in North America. And when I say innovative meaning we look at how we do it with the CapEx slide how we do it with the partnership how we share revenue and how can we grow our portfolio much bigger without buying anyone. So both of us can go together attract certain contract and do something unique in the region and it's a real win-win. So basically we take a benefit they take a benefit. They're very happy they trust us we trust them we have a very strong infrastructure in the region we can go together and service that contract without anyone buying anymore right. So this innovative business model we are negotiating today we have like three companies and hopefully based on the contract awards and based on how our customers perceive that relationship we will be able to come up with something very unique very shortly.
Igor Levi: Great that's very helpful. I'll turn it back.
Operator: Thank you. [Operator Instructions] Your next question comes from Blake Gendron from Wolfe Research. Please go ahead.
Blake Gendron: Hey thanks good morning. Just one question for me. But it's two parts. You alluded to offshore and here. Probably more on this call them out in the past. I was just wondering what the timeline is for that work what the timeline is for your qualifying for that work and maybe some of the incremental investment that you need to make specifically in D&E to improve the technological efficacy of your portfolio and competing against these projects. And then secondly as it relates to technology thought about start-ups with companies in North America one of your larger diversified peers has talking more about technology access basically technology rental both in North America and internationally I imagine a good market for them to target. I was wondering if you do have access to some of the technology offerings in your larger diversified peers and maybe that will improve their competitiveness specifically on offshore and maybe unconventional gas moving forward.
Chris Boone: Thanks Mike. So I address your first question on offshore. So as you know we operate onshore and offshore. All right. Today so the investment we need to do to operate onshore is nothing new for us. So we need to today our all our operation in the countries where it's like in Abu Dhabi Qatar Saudi we work offshore and we continue to work offshore no problem at all. Right. So for us there is nothing really that we need to do significantly to be able to operate offshore in some of the new countries very honestly if they started with the Frontier and exploration. I don't think they were not used right so they with use the multinational very understandably because it's an exploration phase. You need to run exploration logs and if I find the client that would definitely use actually one of the multinational for that matter. So there is no issue for us here but this is the Frontier on when I keep saying on the increase of activity what difference does it make because we make sure that we can be qualified when they could development and some of it because the increased spend gets you to operate actually both on land and offshore even because the PI is much bigger so and that's why I'm saying there is a huge activity increase offshore today which we're going to play a part of it. If I look at even our investment will just be on some of the CapEx to install some of the equipment. So as an example in Saudi Arabia we for example. Now with brand new cementing package is going to be able to put it on the newly offshore rigs that they just acquired. So we are qualified the guidance he has that; very professional we look at our efficiency at 99%. So they said okay you will get awarded for example three four new offshore bills and I need you to put your brand new zone to with all the automatic control etc, etc which is on these rigs. And that's where we again become very uniquely positioned in the sense that you are as good as the multinational and they trust you to be able to place those equipment on the rigs and that's very good right. So if I look at your second question which is the technology access yes absolutely I mean today we talk to everybody we are very open to deal with basically two of the models that are open for that. But again I mean you have to make sure that as well what are your clients right. So today I'm going on the same contract and offer declining the same tools that they have already from the multinational to be honest why would they do that. Why don't they just access it directly from the multinational right I mean we don't try to do something that is already given or existing. We want to be differentiated. If there is a prospect that we have access to and the multinationals are not have access to because we just got awarded. So definitely we talk to them and actually as a matter of fact we just did that last month. So we have the contract and we did not have a certain product. And it's not on the D&E within the production of the chemical and we talked to one of the multinational we agreed that we take the chemicals from them and we found that chemical to the well and the clients were very happy because we had that contract. But our product was not qualified and the product of the service so it's a win-win. They sold the chemical we prompted and no problem. On the direction drilling maybe I think that what you are alluding to. Again if we do not have any differentiation and we do not give any added value to the customer I actually advise the customers to go directly with the multinational. If there is something that we are going to make a difference and working together with the multinational can bring value to the client we will do that. And so we are open to discuss with everybody and we have a very good relationship with Olefins. I hope I answered your question there.
Blake Gendron: No that's very interesting and helpful. I'll turn it back.
Sherif Foda: Thank you.
Operator: Thank you. We have reached the end of the question and answer session. And I will now turn the call back over to the speakers for closing remarks.
Chris Boone: Thank you very much. We really appreciate your time and very excited about our quarter very excited about the future. We are looking again extremely positive with the amount of contracts and the pipeline we have very comfortable on the growth targets and just one added point and I keep saying it our customers are the best in class in the Middle East and even if you see some receivable issue they will face and they are the best player in the world. So we are very comfortable on our cash flow and our receivables and looking forward for a very bright future. Thank you very much.